Operator: Greetings, and welcome to the LuxExperience Fourth Quarter and Full Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] Today's call is being recorded, and we have allocated 1 hour for prepared remarks and Q&A. It is now my pleasure to introduce your host, Martin Beer, the Chief Financial Officer of LuxExperience. Thank you, sir. Please begin.
Martin Beer: Thank you, operator, and welcome, everyone, to the LuxExperience Investor Conference Call for the fourth quarter and full fiscal year 2025. With me today is our CEO, Michael Kliger. Before we begin, we'd like to remind you that our discussions today will include forward-looking statements. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties, including the risks and uncertainties described in our annual report. Many factors could cause actual results to differ materially. We are under no duty to update forward-looking statements. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures in our earnings press release, which is available on our Investor Relations website at investors.luxexperience.com. I will now turn the call over to Michael.
Michael Kliger: Thank you, Martin. Also from my side, a very warm welcome to all of you, and thank you for joining our call. We will comment today on the results and performance of the fourth quarter and the full fiscal year 2025 of LuxExperience. As you know, we successfully closed the acquisition of YOOX NET-A-PORTER on April 23. Under the new name LuxExperience, we now operate the leading global digital multi-brand luxury group. LuxExperience operates a portfolio of some of the most distinguished store brands in digital luxury and creates communities for luxury enthusiasts worldwide with unique digital and physical experiences. Mytheresa, NET-A-PORTER and MR PORTER offer highly curated edits of the most prestigious luxury brands featuring womenswear, menswear, kidswear, fine jewelry and watches as well as lifestyle products. YOOX and THE OUTNET are the leading destinations for multi-brand off-season online luxury shopping. With the acquisition now complete, we will report going forward on the basis of a new segment reporting structure. The 3 segments are Luxury Mytheresa, Luxury Net-A-Porter and MR PORTER as well as Off-price, which is comprised of YOOX and THE OUTNET. As the transaction closed on April 23, the performance of the 2 new segments were mostly driven by the previous management. But in order to provide a more comprehensive view of the underlying performance of the segments, we will comment for all businesses on the full 12 months period ending June 30, 2025, even though our financial reporting for the LuxExperience Group reflects the contribution from the acquired businesses only for the period between closing and fiscal year-end. Let me start by commenting on the overall progress of establishing a new operating model for the now formed LuxExperience Group, which is built on strong store brand differentiation while enabling significant cost efficiencies in the joint infrastructure for the luxury businesses and the separated infrastructure for the off-price businesses. We managed to have a very fast start and have already made significant changes to the YNAP structure, processes and infrastructure since the completion of the acquisition in April. We have initiated cost reduction actions across all operations functions. This relates to changes of the global warehouse footprint and fulfillment models, the customer service provider landscape and global renegotiation of carrier contracts, all yielding significant savings going forward for the group. The technology migration for luxury as well as the simplification of a separate off-price tech stack has also started, and we have fully validated our expectations for the time and effort needed that we had before the acquisition. We have also already enabled customer data analytics across the group by creating a joint data analytics layer on top of the different data platforms. We have come already a long way in the transformation of the group Finance and HR functions, supporting the new operating model and driving significant G&A savings going forward. Finally, we have announced partial workforce reductions across YNAP that are subject to the completion of applicable information and consultation processes. All these actions aim to regain financial strength after years of decline for YNAP. We are very pleased with the fast start of the transformation to leverage the scale and scope for strong growth and profitability for the whole group. Medium term, we expect, therefore, to reach EUR 4 billion in net sales and an adjusted EBITDA margin of 7% to 9% for the group. LuxExperience is in a remarkable position to become the one and only destination for luxury enthusiasts worldwide. Let me now comment on the Mytheresa business, the main driver of our financial performance in fiscal year 2025. We are extremely pleased with the results of our Mytheresa business, confirming again our unique ability to deliver profitable growth despite ongoing macro headwinds. We clearly demonstrated the strength of our business model, which focuses on wardrobe building big spending luxury customers. In Q4 of fiscal year '25, we grew our net sales by plus 11.5% compared to Q4 fiscal year '24 and for the full fiscal year '25 by plus 8.9% compared to full fiscal year '24. This was an acceleration over the results of the third quarter, and we closed the year fully in line with our given guidance. In United States, the Mytheresa business generated a net sales growth of plus 6.4% in Q4 fiscal year '25 compared to Q4 fiscal year '24. For the full fiscal year, the U.S. accounted for 20.6% of net sales of our total business. In Europe, excluding Germany, we experienced an excellent net sales growth with plus 19.4% in Q4 fiscal year '25 compared to the prior year period. This growth of Mytheresa was again driven by our resilient and loyal top customers. The top customer base of Mytheresa grew by plus 3.6% in the fourth quarter compared to the prior year period. More importantly, the average spend per top customer in terms of GMV grew by plus 16.1% in Q4 fiscal year '25 versus Q4 fiscal year '24 and plus 15.9% for the full fiscal year '25. As a consequence of our successful strategy at Mytheresa, our top customers accounted for 3.8% of all customers and numbers, but for 42.6% in terms of total GMV in fiscal year 2025. The average order value last 12 months for Mytheresa increased by a remarkable plus 10% to an outstanding EUR 773 in Q4 fiscal year '25, demonstrating the success of our focus on selling full price high-end luxury products to top customers, including our successful expansion of our fine jewelry offer. This high average order value also provides further economic leverage that we also use, for example, to invest further in our unboxing experience with added gifting for kids wear orders and branded hangers as well as garment bags for high-value ready-to-wear items. The continued focus at Mytheresa on selling full price is also evident with the again improved gross profit margin growing by 90 basis points in Q4 fiscal year '25. For the full fiscal year 2025, the gross profit margin grew by 130 basis points. Our excellent customer service proposition is highlighted by our internally measured Net Promoter Score of 82.6% in Q4 fiscal year '25, showing our consistently outstanding customer satisfaction. Our success with big spending wardrobe-building customers makes Mytheresa a highly desired partner for luxury brands. The fourth quarter of fiscal year '25, we saw again many high-impact campaigns and exclusive product launches, underlying also Mytheresa's strong relationships with luxury brands. We launched the exclusive Dolce & Gabbana, Taormina Capsule collection for womenswear and kidswear only available at Mytheresa. We launched also high summer exclusive capsules with Pucci, Versace, Chloe, La Doublej, Missoni for womenswear, all only available at Mytheresa. We were the exclusive prelaunch partner for the Alaia Archetypes collection, Valentino's Ete Fou Capsule Collection as well as The Row Fall/Winter '25 collection for womenswear and menswear. We also launched exclusive womenswear bags and shoe styles from Bottega Veneta's Pre-Fall '25 collection and exclusive womenswear and menswear styles from Prada's new season collection. In addition to creating desirability for our top customers with exclusive digital campaigns and product launches, we also create desirability and a sense of community for Mytheresa's top customers through unique money-can’'t-buy physical experiences. We aspire to constantly engage with our top customers across the globe to build strong, long-lasting relationships. In the fourth quarter, we hosted various top customer events, including an intimate afternoon tea with [ Pucci ] at the private apartment of the Creative Director, Guillaume Henry. We celebrated a Dior pop-up at the Mytheresa store in Munich. We invited top customers to a dinner and shopping experience with Prada at the Roundtree Hotel in Amagansett. Further highlights in the United States included a private behind-the-scenes viewing of the Boston Ballet rehearsal of Romeo and Juliet and a private tour at the Frieze art exhibition at Hudson Yards hosted in collaboration with Stone Island. In Shanghai, we created an unforgettable experience around Sarah Burton's debut Runway collection together with Givenchy. In the spirit of being a community for luxury enthusiasts, we hosted a 2-day Taormina experience in Sicily with Dolce & Gabbana in attendance of Alfonso Dolce. We invited guests to a dinner at the famous San Domenico Palace and a Sicilian market experience at Taormina Central Marketplace. Another highlight was our 2-day Rome experience with Aquazzura, including a private dinner at the Cinecitta Film Studio attended by Edgardo Osorio, Founder and Creative Director of Aquazzura. We also hosted a Mediterranean escape in Ibiza with Missoni, including a boat tour and pool party. Finally, we invited clients to Naples to attend a private fashion show with Kiton and learn about the sartorial craftsmanship of the brand. In summary, we are extremely pleased with the results of the Mytheresa business. We have demonstrated clear operational and financial leadership in an otherwise struggling sector, and we have also underlined that we have the expertise and LuxExperience to achieve profitable growth in digital luxury. Let me now comment on the luxury segment comprised of NET-A-PORTER and MR PORTER. As stated in our investor presentation in May, both NET-A-PORTER as well as MR PORTER are truly iconic digital luxury brands that have distinct high-end customers quite different from the Mytheresa customer base. Our key strategic priority will be to strengthen the unique identities of the brands and maintain the differentiation for Mytheresa. A renewed clear focus on luxury customers looking for editorial inspiration and brand discovery as well as a focus on full price selling will be fundamental for the turnaround at NET-A-PORTER and MR PORTER. Of course, reduced cost of operation will also be needed. In Q4 fiscal year '25, net sales declined by minus 8.9% versus Q4 fiscal year '24 and by minus 10.9% for the full fiscal year '25 compared to full fiscal year '24 for NET-A-PORTER and MR PORTER combined. The United States with minus 8% and Europe, excluding the U.K. and Germany with minus 6.5% saw similar decreases in terms of GMV in Q4 fiscal year '25 compared to Q4 fiscal year '24. While the overall top line declined, the average order value last 12 months increased by plus 14.5% to EUR 811 for NET-A-PORTER and MR PORTER combined in Q4 fiscal year '25. The gross profit margin remained almost stable in Q4 fiscal year '25 for NET-A-PORTER and MR PORTER combined compared to the prior year period. Going forward, the clear strategy will be on a renewed focus on high-end big spending customers and on full price selling, both fully in line with our group strategy. The immediate priority after closing the acquisition has been to appoint highly experienced and strongly driven leadership teams at NET-A-PORTER and MR PORTER after years of decline. Both store brands now have outstanding dedicated leadership teams in place. This needed change was done in record speed. Under the leadership of NET-A-PORTER's new CEO, Heather Kaminetsky, who significantly drove Mytheresa's U.S. growth since 2021, new Chief Buying and Merchandising Officer, Brigitte Chartrand; and new Chief Brand and Customer Officer, Claudia Plant are engineering the successful return of NET-A-PORTER's global appeal and customer passion based on editorial authority and luxury fashion discovery. No less pivotal is the return of Co-Founder, Toby Bateman as CEO to MR PORTER. Under his leadership, Jeremy Langmead as new Brand Director, Daniel Todd as Buying Director and Cassandra Bergsland as new Customer Director are charting the course of MR PORTER to regain its unique leadership position as the only global menswear digital luxury destination. While we expect net sales to continue to decline in the short term for NET-A-PORTER and MR PORTER based on a lack of marketing spend in the past as well as too little investments into the buying of attractive new merchandise, the new leadership team in place and a radical transformation program will soon bear fruit and create a much healthier and resilient business model. Lastly, let me comment on the off-price segment, comprised of YOOX and THE OUTNET. Both store brands have suffered the most from a lack of dedicated resources, marketing spend as well as low investments in attractive new merchandise. Furthermore, the off-price businesses shared infrastructure and resources with the luxury businesses, which did not really fulfill the needs of a lower-margin off-price business model. As stated in May, only by separating off-price from luxury and by decisively streamlining the businesses will the vicious cycle of declining revenues and decreasing investments be stopped. In Q4 fiscal year '25, net sales declined by minus 17.4% for YOOX and THE OUTNET combined. For the full fiscal year 2025, the decline was minus 13.2% compared to full fiscal year '24. The United States with minus 21.8% and Europe, excluding the U.K. and Germany, with minus 15.6% saw similar negative developments in terms of GMV for YOOX and THE OUTNET for Q4 fiscal year '25 compared to Q4 fiscal year '24. As for the other businesses, the average order value last 12 months for YOOX and THE OUTNET combined increased by plus 17.4% to EUR 292. The gross profit margin decreased in Q4 by 490 basis points compared to the prior year period. This was mostly driven by the shutdown of the YOOX marketplace business as well as clearance activities during this quarter. Fully in line with our strategy, we have already taken very clear actions since the closing of the acquisition of YNAP. Separate leadership teams have been put in place and confirmed for YOOX and THE OUTNET. Dedicated brand and marketing functions separate from luxury have been built up. Infrastructure, resources and processes in finance, HR, operations and most importantly, in technology are being separated from the luxury segment and streamlined to create the lean operating model required for the off-price business. Select operational and administrative structures are being consolidated and workforce reductions have been announced. The group remains fully committed to Italy for YOOX and the United Kingdom for THE OUTNET as their respective headquarters. All these measures will help us to regain growth and financial strength after years of decline for the off-price businesses. And now I hand over to Martin to discuss the financial results in detail.
Martin Beer: Thank you, Michael. As explained by Michael, we report across 3 segments: Luxury Mytheresa, our legacy business; Luxury NAP and MRP, which is comprised of NET-A-PORTER and MR PORTER; and Off-Price, which consists of YOOX and THE OUTNET. As the transaction closed on April 23, 2025, and our fiscal year ended June 30, our financial reporting for our LuxExperience Group reflects the contribution from the acquired businesses only for the period between closing and fiscal year-end. We will refer to these as reported figures. To provide a more comprehensive view of the underlying performance of the segments and the combined business group, we will also report on certain key metrics of the new segments and the LuxExperience Group on an illustrative basis, reflecting the full last quarter and full 12-month period ending June 30, 2025. I will now review the financial results for the fourth quarter and full fiscal year ended June 30, '25, on a segment basis and highlight specific developments that influenced each segment's performance. Following that, I will review the consolidated financial results for LuxExperience at group level and will then provide an outlook for fiscal year '26 and the medium term. Unless otherwise stated, all numbers refer to euro. Let's begin with the performance of our Mytheresa business. During the fourth quarter, covering April to June, Mytheresa's net sales increased by plus 11.5% to EUR 248.9 million. For the full fiscal year, net sales grew by 8.9% to EUR 916.1 million, in line with our guidance. GMV grew by plus 11.1% in the quarter to EUR 265.9 million and to EUR 988.5 million in the full fiscal year, a growth of plus 8.2%. Mytheresa's gross profit margin increased by 90 basis points from 47.4% in the prior year quarter to now 48.3% with our continued focus on full price sale. This marks the fourth consecutive quarter of margin expansion. For the full fiscal year '25, the gross profit margin increased by 130 basis points to 47% from 45.7% in the prior year period. I will now briefly review the cost line developments. The shipping and payment cost ratio improved by 180 basis points in the fourth quarter from 14.7% to now 12.9%. The reduction is a result of our continuous focus on improving unit economics, mostly driven by an increase in AOV and lower return rates. In the full fiscal year '25, the shipping and payment cost ratio decreased by 110 basis points to 13.6% while the marketing cost ratio saw a slight increase both in the quarter and over the full fiscal year, the selling, general and administrative SG&A cost ratio decreased. In Q4 of fiscal year '25, the SG&A cost ratio stood at 13.4% as a percentage of GMV, decreasing by 70 basis points from the prior year quarter. For the full fiscal year, the SG&A cost ratio decreased by 40 basis points to 13.6%. In Q4 of fiscal year '25, the adjusted EBITDA margin expanded by 180 basis points from 4.7% to now 6.5%. For the full fiscal year '25, the adjusted EBITDA margin increased by 180 basis points to 4.9% with an adjusted EBITDA of EUR 44.6 million, in line with our given guidance. Key drivers were our increasing gross profit margin and better unit economics through diligent cost management in all our cost lines. To be able to continuously improve our profitability even in challenging times for the overall industry shows the resilience of our business model and the value of our positioning. Our inventory levels at Mytheresa stayed flat compared to the previous fiscal year-end despite double-digit top line growth. During Q4 of fiscal year '25, Mytheresa had a positive operating cash flow of plus EUR 17.6 million. For the full fiscal year, Mytheresa also had a positive operating cash flow of plus EUR 3.6 million. In sum, Mytheresa outperformed its peers with double-digit top line growth and improving its profitability. In Q4 and for the full fiscal year '25, we proved again that we are the best operator in digital luxury and are ideally positioned to fortify the leadership position of LuxExperience along its 3 segments. Let me now comment on the Luxury, NET-A-PORTER and MR PORTER segment in more detail. In the fourth quarter of fiscal year, net sales decreased by minus 8.9% and minus 10.9% LTM on an illustrative basis. As Michael outlined, this development is driven by a lack of targeted marketing and merchandise strategy and is being readjusted by the new leadership in place. This was anticipated and is reflected in our overall budget plan. The average order value on an LTM basis increased by plus 14.5% from EUR 708 to EUR 811. The adjusted gross profit margin in Q4 was mostly stable at around 51%, both in line with the strategic refocus on improving customer quality. Adjusted EBITDA profitability at NAP & MRP is below Mytheresa level at minus 1.1% adjusted EBITDA margin in the quarter compared to plus 6.5% at Mytheresa. On an LTM basis, the NAP & MRP adjusted EBITDA margin was at minus 0.7% compared to the plus 4.9% at Mytheresa. As outlined in our May investor presentation, the key focus area for NAP & MRP rests in the SG&A cost ratio. In Q4, the SG&A cost ratio at NAP & MRP was at 24.6% with now also integrating IT development costs into operating expenses instead of CapEx. The same way we have treated IT development costs at Mytheresa. In fiscal year '24, NAP & MRP had tech people CapEx of EUR 26 million. With closing of the acquisition, we changed towards this integration into SG&A expenses starting in this fiscal year Q4. From now on, this enables full transparency in the true SG&A cost development. The 24.6% SG&A cost ratio at NAP & MRP in the quarter compares to the 13.4% SG&A cost ratio at Mytheresa. This is over a 1,000 basis point difference and is therefore, the focus area of our transformation plan with IT replatforming, operational efficiencies, simplifying the business model and cutting overhead costs. Other cost lines of the NAP & MRP Q4 and LTM performance were in line with our expectations and the transformation plan. We also provided illustrative previous year numbers of NAP & MRP. Given the alignment to the group CapEx policy mentioned above and other adjustments in the setup, previous year numbers are not fully comparable to the current Q4 performance. As we provide previous year comparisons in the Mytheresa segment, we wanted to also make the financial development transparent at the other 2 segments. With the new leadership team at NAP & MRP on board, we will refine and invest in our buying and marketing efforts to set NET-A-PORTER and MR PORTER on a growth trajectory again while improving profitability. With the execution of our transformation plan, we expect the NAP & MR PORTER segment to achieve comparable profitability levels to the Mytheresa segment with a targeted adjusted EBITDA margin of around 7% to 9% medium term. Let me now review the financial performance of the Off-Price segment. The Off-price segment is set to a more comprehensive restructuring of its business model. The new leadership team has been initiating multiple changes in its operational and business setup to return to a simplified, efficient and more quality-focused setup. In Q4, especially with the discontinuation of the unprofitable YOOX marketplace model, this led to a deliberate net sales reduction of minus 17.4% to EUR 159.1 million. On an LTM basis, net sales decreased by 13.2% to EUR 792.8 million. The AOV on an LTM basis increased by plus 17.4% to EUR 292, in line with the customer quality shift. The gross profit margin was at 37.9% in the quarter and 35% in the LTM period. The SG&A cost ratio of 28.1% in Q4 mirrors the fundamental restructuring effort needed to enable the off-price segment to return to its historic profitability levels. As with the NAP & MRP segment, SG&A cost ratio now includes the IT development costs into operating expenses instead of CapEx. In fiscal year '24, Off-price had tech people CapEx of EUR 18 million. We are starting to drastically simplify the operating model and to capture efficiencies in its IT and operational setup and corporate overhead. In this current state, the Off-Price segment experienced an adjusted EBITDA margin in Q4 of minus 17.9% and minus 12.1% on an LTM basis, in line with our expectations and the long-term plan. With the execution of our defined transformation plan, we expect to return to adjusted EBITDA profitability of the Off-Price segment in 18 to 24 months. In Q4, the 2 new segments, NAP & MRP and Off-Price had combined a negative operating and investing cash flow of minus EUR 46.6 million. For the full fiscal year '25, those 2 segments had an operating and investing cash flow of minus EUR 4.6 million, driven by low inventory intake and low marketing investments. With the measures of the transformation plan, coupled with investments in marketing and net working capital buildup, fiscal year '26 will be a cash consumption year for LuxExperience. Now that we've reviewed the performance of our individual segments, let's take a look at how these results translate into our group level financials for LuxExperience. When we refer to reported numbers, it is our financial reporting, reflecting the true contribution from the acquired businesses between closing and fiscal year-end. When we refer to illustrative numbers, it is reflecting the contribution of the acquired businesses as if they were part of the group for the full periods presented, but excluding acquisition accounting and OFS and Feng Mao businesses that are being wound down. For the full fiscal year '25 ended June 30, reported group GMV amounted to EUR 1.3 billion. On an illustrative basis, group GMV in the full fiscal year '25 was EUR 2.9 billion, decreasing from EUR 3.1 billion in the previous 12-month period, representing an overall decrease of minus 6.3%. Reported group net sales amounted to EUR 1.3 billion for the full fiscal year '25. On an illustrative basis, net sales were EUR 2.8 billion compared to EUR 2.9 billion in the comparable period, resulting in a decrease of minus 5.9%. Reported group adjusted EBITDA for the full fiscal year '25 amounted to plus EUR 44.2 million at an adjusted EBITDA margin of 3.5%. This higher reported group adjusted EBITDA in comparison to illustrative numbers is mostly driven by effects from acquisition accounting. On an illustrative basis, group adjusted EBITDA was minus EUR 15.3 million in Q4 of fiscal year '25 and minus EUR 58.7 million for the full fiscal year '25. The adjusted EBITDA margin was minus 2.3% in Q4 and minus 2.1% for the full fiscal year. At the end of the full fiscal year '25, reported group inventory stood at EUR 1.020 billion with net working capital at EUR 814.4 million. Reported group operating cash flow for the fiscal year was minus EUR 30.6 million. On an illustrative basis, including all 3 segments, operating and investing cash flow for the last 12 months was minus EUR 2.3 million, driven by significantly reduced inventory intake at NAP & MRP and Off-Price. The group ended the fiscal year with a cash position of EUR 603.6 million and additional access to an undrawn revolving credit facility of EUR 179.8 million. LuxExperience has a strong balance sheet with EUR 1.8 billion of current assets, mostly inventories and cash, almost no bank debt and an equity ratio of 59%. Let me now talk to the financial outlook of LuxExperience based on the most recent near-term and medium-term expectations. With the implementation of our transformation plan, fiscal year '26 will be a transition year. In addition, given the persistent uncertainties on the direct and indirect U.S. customs effects on worldwide customer sentiment, we look at the next 12 months with prudent conservatism. We expect Mytheresa to continue growing its GMV top line. NAP & MRP will still need fiscal year '26 to readjust its buying and marketing strategy and will, therefore, still slightly decline in GMV. Off-price in fiscal year '26 will continue the restructuring of its operating and business model. We, therefore, expect GMV at Off-price to continue to decrease considerably. In sum, and in fiscal year '26, LuxExperience at group level is expected to have a GMV at around EUR 2.5 billion to EUR 2.9 billion. Medium term, we expect LuxExperience to return to 10% to 15% annual growth rates. Given the uncertainties in the market mentioned earlier and fiscal year '26 being a transition year, we expect in fiscal year '26, comparable profitability levels to fiscal year '25. In sum, LuxExperience at group level is expected to report an adjusted EBITDA margin between minus 4% and plus 1%. We are in an ideal position to execute our transformation plan. With our continued success at Mytheresa, we have proven that we are the best execution team in global digital luxury. The new leadership teams at NAP & MRP and Off-price have begun their work. And at group level, we are in the midst of implementing the measures of our transformation plan. The integration of the YNAP finance teams and formation of all LuxExperience group structures have started early, and we are well underway. Key activities included a new group-wide organization and governance setup, an integrated finance consolidation and IFRS 16 tool, new segment reporting, unified accounting and reporting policies with transparent cost center structures to enable accountability and cost savings and a highly efficient and effective finance group team setup. The statutory and group audits for fiscal year '25 under strict PCAOB guidelines are progressing well, and we expect to file our 20-F as planned end of October. The full execution of the transformation plan, which includes operational adjustments, technology platform integration and organizational alignment is already fully funded and with additional leeway with a EUR 555 million cash injection of Richemont at closing. At the end of June 2025, LuxExperience had a total available liquidity of EUR 784 million, including cash at hand of EUR 604 million and no bank debt, just a small utilization of our revolver of EUR 20.2 million. We expect a turnaround to acquire funds in total of no more than EUR 350 million to EUR 450 million, and we expect to report positive operating cash flow for the group in 2 to 2.5 years. The setup of LuxExperience with its 3 operating segments is designed to preserve the strength of each segment while unlocking meaningful long-term value. While we are already seeing initial positive momentum, we will continue to carefully manage the business to drive operational improvements and strategic growth. We are fully committed on executing our transformation plan and creating significant value for our shareholders and stakeholders. Medium term, we expect to grow LuxExperience to EUR 4 billion revenues with adjusted EBITDA of around EUR 320 million at an adjusted EBITDA margin of around 8% at the levels we have proven to achieve in the past. As the clear leader in global digital luxury, we have the track record of multiyear growth at CAGRs well above 12%. And with this, I hand over to Michael for his concluding remarks.
Michael Kliger: LuxExperience is in a remarkable position to become the one and only destination for luxury enthusiasts worldwide, bringing together some of the most iconic brands in digital luxury retail. The outstanding performance of Mytheresa shows our unique ability to deliver continued success in digital luxury. We will bring these capabilities and our successful approach to the new store brands. We managed to have a very fast start and have already made significant changes to the YNAP structure, processes and infrastructure since the completion of the acquisition in April. We will leverage the scale and scope of the newly formed group for efficiencies and value creation across the business segments. By building a community for luxury enthusiasts worldwide and creating desirability through digital and physical experiences, we will continue to generate enormous value for our customers, brand partners and shareholders. And with that, I ask the operator to open the line for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Oliver Chen with TD Cowen.
Oliver Chen: On the Mytheresa business, the AOV was impressive as well as the margins. What parts of the Mytheresa business experienced upside relative to your expectations? And what should we expect in terms of the margin profile going forward? You had a nice benefit with the unit economics. Also, you called out that SG&A, a big opportunity on the SG&A side on the NET-A-PORTER division. What's the road map for timing of what we should expect there, given it's a nice opportunity and some of it's within your control? And then on the customs effect, that would be helpful for us to understand what we should be thinking about with the risk associated with the sentiment that you articulated relative to customs. And finally, as you articulated the guidance on the EUR 2.5 billion to EUR 2.9 billion, it would be helpful for us to understand what you're seeing regionally and what you're assuming geographically in terms of achieving that guidance level at the top line.
Michael Kliger: Thank you, Oliver, for this one question. Let me start with your first question. I think clearly, the group guidance expects that we will continue to improve the profitability in the Mytheresa business, continually improving full price and thus have a further increase in gross margin. Upsides, I mean, we reported a very strong European business in this quarter, which is great. This is an important or the largest part of the Mytheresa trading. And we will -- we do expect continued strong growth in U.S. We're all aware that things are quite fickle nowadays. So this is all based on what we know today, but there is continued growth and continued margin improvement for Mytheresa definitely -- definitely possible. On the SG&A road map, I think also based on the May presentation, the elements are clear. It's in the operations, it's in the corporate functions, it's in the technology, it's in the data leverage. A lot of it is under our control, as you rightly put, Oliver. We are moving very fast on operations. And so this will definitely show the fastest and first results. Corporate also, we are going with a fine comb to all SG&A costs. Technology, this is the biggest part of savings, but this is the one that definitely takes 2 to 2.5 years. And maybe for the 2 last questions, I hand over to Martin on customs and guidance.
Martin Beer: Oliver, happy to answer on the custom side. I mean we -- what we currently see is that the indirect customs effect on the customer sentiment is containable. So we see a continued strong growth of Mytheresa and all other business. So the overall effect of U.S. customs in the industry is still there, but we see green shoots. We see positive developments and also for us, not a barrier to continue our strong growth worldwide. And sorry, what was the second question?
Oliver Chen: Regionally, as you think about the growth rates and how are you thinking about the U.S. relative to Europe? And any comments or thoughts on what you're seeing in Asia in terms of the model going forward, geographic dynamics?
Martin Beer: Yes. I mean maybe we start with the last aspect. In our guidance growth, there is nothing like unexpected super growth in Asia modeled in or built in. So we continue to see what everybody sees that Asia, especially China, is still weak. As you know, our base is very small. So we don't -- so China is for us rather an option for further growth once the situation improves. But in the guidance, nothing is built in there. And as Michael called out, I mean, the regional growth avenues are quite vast for us. So we continue and expect to continue to grow worldwide with strong growth in Europe, continued also strong growth in the U.S. This is also clearly visible for us. And we are able to grow in all regions, no matter what the situation is there. So on the regional side, especially looking at the guidance, no unexpected or change in what we have seen so far, a continuous strong development of LuxExperience in all regions.
Operator: [Operator Instructions] We have a follow-up question from the line of Oliver Chen. Oliver, can't hear you currently. So we're going to move on to the next question. Next question comes from the line of Blake Anderson with Jefferies.
Blake Anderson: Congrats on all the deal progress so far. So I wanted to just ask on guidance. Could you give any more color on the key factors that would lead you to hitting the lower end of your EBITDA margin guidance versus the higher end? And then I'm wondering on quarterly cadence, can you provide maybe any quarter-to-date trends you've seen and any shaping of the year?
Martin Beer: Yes. I mean if you look at the quarterly guidance, I mean, as you know -- as you well know, the quarters are mostly driven by the seasonality of the business. So with Q2 and Q4 being stronger quarters in Q1 and fiscal Q3 being weaker quarters. So this seasonal cadence will continue. And on the overall guidance, obviously, given that we are in the midst of the restructuring of 2 segments and seeing the overall situation in the market also with other brands, we want to be conservatively prudent. And therefore, we have guided for a large spread of the adjusted EBITDA margin. And therefore, the lower end is then driven by a more conservative approach of looking at the overall market development that obviously stays still a bit uncertain on multiple fronts.
Operator: [Operator Instructions] We have a follow-up question from Oliver Chen.
Oliver Chen: On the details on NET-A-PORTER, you mentioned a couple of issues regarding inventory as well as demand creation on the marketing side. What's the timing and road map on both of those opportunities? It looks like they're definitely impacting the margin.
Michael Kliger: Well, as you know, there is a significant lead time in terms of changing assortment, improving the buy. So we have a strong new buying director in place. He is in the market. So the Fall/Winter '26 is the assortment that is now being bought. And so this kicks in early deliveries in May of next year. So the performance of the coming fiscal year is still very much influenced by spring/summer '26 that outside of the main selections has already been bought, but there are many other opportunities on the marketing side in terms of customer acquisition, customer targeting. We are changing the approach to performance marketing based on the experience and also models that we have built at Mytheresa over the years. So merchandise longest lead time on marketing and customers, but customer tactics, top customer engagement, all of these levers that have been neglected or in our view, not executed correctly, this will kick in and you will already see impact in that -- in those aspects in the first half of the next calendar year.
Oliver Chen: Okay. Michael, also, there's been a lot happening in the backdrop with different closures and distress as well. What are your thoughts on the current state of the promotional environment that you're seeing and opportunities amidst the closures? And then as we look at the designer landscape, you have a lot of really strong relationships, and there's a ton of newness on the creative side. What are your latest thinkings on the changes creatively and quiet relative to louder luxury?
Michael Kliger: On your first part, I think, yes, we have seen further steps in the consolidation of the sector. I still refer to it as a sort of perfect example of an industry curve that after boom and some weaker demand seasons, there is consolidation. And I continue to believe, and I think this also drives some of our numbers, this consolidation helps to get to a healthier industry to a reduction in promotional activities of different players. It's for sure that we have a much more balanced inventory to demand equation at the moment in place. So as long as demand continues to develop as it has over the last couple of months, we should be very fine. Of course, these things are fickle. And to your second part, you're absolutely right. I mean we are really at the pivotal moment at many houses, new designers. We have seen some first debuts to name Demna Gvasaliaas the new Creative Director at Gucci, which brought a lot of new attention to the brand. We will have further new designers at Bottega on Saturday with Louise Trotter. We will have a new designer at Versace presenting on Friday. And we believe there's a huge level of opportunity in there. There will be a lot of attention garnered by press, by influencers, by ambassadors. So we believe that not everything will work, but there's a significant amount of creativity coming into this market, and that's what it needs. And so we're really looking forward to it, and our buyers are ready to jump in when they see opportunities, when they see attractive merchandise as outlined by Martin, we are in a position to put dollars behind it if we believe there is a strong trend in the market.
Oliver Chen: Okay. And on the consumer sentiment piece, as you know, it's been somewhat volatile. What are you seeing with consumer sentiment and the feel good factor in relation to your business? Demna has been exciting at Gucci as well. It's a rebirth or a transformation with what's happening at that brand. Would love any thoughts on that opportunity as well.
Michael Kliger: I think I have -- whatever I say, I have to really build on your remark. We are in a very volatile environment. So everything we see is only as valid as far as we can sort of predict the future. But sentiment has been improving. I refer back to the strong results in the last quarter in Europe for Mytheresa. We continue to see good growth and acceleration in the demand in the United States. In Asia, from a very low level, there are improvements visible. So current trends are positive at different sort of levels of strength. But again, we are in a volatile environment, and we have seen a lot of macro shocks that change that quite quickly. Gucci is one of the biggest luxury brand in the industry, even with the negative trend of recent years, it's still a top 5 luxury brand. And so a new designer bringing in a lot of creativity and creating quite a lot of buzz in the last 2 days is very positive. Again, this is never a one season game. This is establishing new codes, building on the existing codes of the brand. So great start. And without a great start, you can't have a continuation, but a great start alone is, of course, also not enough.
Oliver Chen: Final, on the off-price division, you've been consistent with the need to take out costs there and rebase it to what's appropriate for the margin profile of that division. What are the harder parts of that business, and it's pretty different in terms of the buying techniques as well as the customer. What do you see happening in terms of your core competencies relative to that division? And how quickly can you get the margin structure in a place that you're happy with?
Michael Kliger: It is a different business. I mean we have shared the small overlap between the 2 luxury segments in that segment. But still, it is retail and still we firmly believe that the strict application of the principles of focusing on the customer, understanding what he or she really desires, servicing them well. And of course, being frugal. And it's not so much that these 2 businesses spend without any understanding of their cost structure. They were sitting on a cost structure that was not engineered for off-price. So it's really what we stressed often the separation of the infrastructure from the luxury to provide them an infrastructure that fits their gross profit margin in off-price and off-season is lower by definition of that business model. And so I think there are different challenges, but the opportunities are as big and the time horizon is as fast as we see with the NET-A-PORTER, MR PORTER luxury segment.
Operator: Thank you. There are no further questions pending at this time. This concludes today's call. Thank you for attending. You may now disconnect.